Operator: Good day and welcome to the Pacific Premier Bancorp First Quarter 2021 Conference Call.  Please note this event is being recorded. I would now like to turn the conference over to Steve Gardner, Chairman and CEO. Please go ahead.
Steve Gardner: Thank you, Betsy. Good morning, everyone. I appreciate you joining us today. As you're all aware, earlier this morning, we released our earnings report for the first quarter of 2021. We have also published an updated investor presentation that has additional information on our financial performance. If you have not done so already, we would encourage you to visit our Investor Relations website to download a copy of the presentation. In terms of our call today, I'll walk through some of the notable items. Ron Nicholas, our CFO will review a few of the financial details, and then we'll open up the call to questions.
Ron Nicolas: Thanks, Steve, and good morning. The majority of my comments will be directed on a linked quarter basis. Overall, total revenue was $185.4 million for the quarter, compared with $191.4 million in the prior quarter, driven by lower interest income primarily due to two less days in the quarter and lower accretion income. Both our efficiency ratio at 48.6% and our pre provision net revenue as a percent of assets at 1.86% remained strong, highlighting the benefit of our increased operating scale. The net interest margin remained at 3.55% for the quarter, a decrease of six basis points from the prior quarter as changes in the mix of earning assets and lower loan yields, as well as lower accretion income were partially offset by a lower cost of funds. Our core net interest margin, excluding the impact of accretion decreased two basis points to 3.30%. With the continued margin pressure of excess liquidity and less room on deposit repricing, we see the core NIM in the 3.25% range. Noninterest income of $23.7 million included $2.3 million in PPP referral fee income in the quarter. We do expect some additional PPP referral fees in the second quarter as the program winds down. Noninterest expense excluding merger related costs came in at $92.5 million, compared with $94.5 million in the prior quarter. The cost savings from the Opus acquisition has been fully realized and exceeds the amount we estimated when the transaction was announced last year. Personnel costs were largely flat to the prior quarter, and headcount increase to 1,520 from 1,477 at the prior quarter end. Our quarterly noninterest expense should approximate $94 million as we continue to invest in people and technology. Turning now to the allowance in asset quality. Our allowance for credit losses finished the quarter at 2.04% and the total loss absorbing capacity comprised of the allowance and the remaining fair value discount on acquired loans totaled $371 million at quarter end, or 2.81% of loans held for investment. The factors affecting our allowance for credit losses during the quarter were modest, driven primarily by the economic forecast and model dynamics at the segment level, as well as the portfolio mix. Provision for credit losses was $2 million comparable $1.5 million in the prior quarter. While net charge-offs totaled $1.3 million down from $6.4 million in the prior quarter.
Steve Gardner: Great, thanks, Ron. In summary, the momentum we are seeing in business development is resulting in a growing loan pipeline that now exceeds $2 billion. Based on the positive trends we're seeing and contributions coming from all areas of the bank, we are more confident today that loan growth will accelerate as we move through the year. In addition, as the economy further strengthens, we anticipate an increase in credit line utilization rates as business investment expands, and new projects come online. This should lead to a remit to the balance sheet and derive an expansion in net interest income. Given our consistent financial performance, and our increasing confidence in the outlook for the economy, we have increased our dividend by 10% to $0.33 per share. During the first quarter, we initiated a stock repurchase program and have bought back approximately 200,000 shares. With our strong capital ratios, conservative risk profile and expanding earnings, we are able to increase the capital return to our shareholders, while also being well positioned to support both organic and acquisitive growth. We continue to pursue acquisitions and merger partners throughout the western US that can add meaningful earnings accretion, and scale to our franchise.
Operator:  First question comes from Gary Tenner with D.A. Davidson.
Gary Tenner: Thanks. Good morning, guys. I had a couple of questions. I guess, Steve, in your closing remarks you talked about the loan pipeline strength and expectations for accelerating loan growth later in the year. Does that kind of inform the decision to kind of allow the cash balances to grow on balance sheet versus investing in this quarter? Just because you're anticipating the need for that liquidity to fund growth later in the year?
Steve Gardner: That's part of it. Gary, hi, I can't see us running the full quarter at the level of cash that we do have on the balance sheet. It's also to being mindful of the level of deposit flows. They continue to, obviously, be strong. Again, though I don't suspect we're going to be carrying $1.5 billion of cash throughout the remainder of the quarter or something near it.
Gary Tenner: Okay, thanks. And then on the credit side, obviously metrics look really good. But the multifamily allowance for credit losses jumped out, I mean in terms of the sequential quarter increase. I think it was $17 million. Is that just driven by growth and increased commitments in the space or is there anything else that you're seeing in the segment that's giving you any cause for concern?
Steve Gardner: I'll talk about it generally and then Ron can jump in and add any additional color, is really driven in part by the model, Gary, that we utilize, which is Moody's and, in their forecast, and in what seeing on a national level as something that we will certainly take a look at as the model continues to be refined, and we all have added experience. As we estimate any number of factors in the model itself. Ron, you want to provide any greater detail color on it.
Ron Nicolas: Sure, Steve. Thanks. Yes, Gary, you certainly noted the one increase we did see meaningful increase in the reserve levels. Specifically in the Moody's model there, the REIS, CRE and multifamily pricing, the multifamily pricing deteriorated a little bit in terms of both rents and vacancies, they're describing in some of their analysis and white papers, which you can pick up, continued a lag in the impact there. So that's really, we had been hovering in that 120 to 130 basis point, reserve level, and as you saw, it spiked to 150. So it's strictly a function of the model itself, and we did not see or do not see any kind of deterioration in our own portfolio.
Gary Tenner: All right. Appreciate the color on that. And then just finally in terms of kind of pricing competition, any thoughts there? I mean, we're - seems like we're still hearing our daily about banks, some banks doing long-term fixed rate loans at pretty low rates. Have you seen any kind of moderation of the pricing, or loans just kind of coming on at floors right now, and that's the environment?
Steve Gardner: We haven't seen any real material change in pricing in the marketplace.
Operator: Our next question comes from Matthew Clark with Piper Sandler.
Matthew Clark: Hi, good morning, guys. Maybe the first one on NIM outlook of 3.25%. I assume that's for the upcoming quarter. But it also sounds like you're going to be holding less cash going forward and re mixing assets and, higher yielding assets. So I guess I'm a little surprised that you expect the margin to be down a little bit and just want to confirm that's for the upcoming quarter. And does that contemplate I assume you're thinking expansion in the back half, if that's the case.
Steve Gardner: It is that estimate is for the current quarter and really, where we stand heading into the quarter. We would expect as I said in my comments, Matt that as the balance sheet remixes as one loan accelerates or as loan growth accelerates, we do a remix in the balance sheet and that should benefit the net interest margin. That is our expectation.
Matthew Clark: Okay, and on the prepays and payoffs, do you happen to have those numbers this quarter versus last? Just trying to get order of magnitude there? Maybe we back into a plug but see how it might have taken.
Steve Gardner: Ron, do you have that number handy?
Ron Nicolas: Yes, Matt, I don't have it handy here. I'll look at it to here in a moment. I will tell you that the prepays were down just a smidgen, but they were still pretty high in terms of our historical levels. And again, the line utilization really was the new item that impacted our loan growth quarter-to-quarter this quarter. But I'll circle back later on the call Matt on that.
Matthew Clark: Okay, thank you. It does sound like utilization rates have hit a bottom at the end of the quarter. Have you seen usage pick up here in April? Any color there?
Steve Gardner: Yes, we have. Whether that's sustainable remains to be seen. But it does appear that by the end of March, we had hit the bottom which was as Ron had mentioned below 30% and we have seen that move up modestly in the first couple of weeks here in April, and that seems - that trend seems to be holding here. So we'll see we believe it is reflective of again, improving confidence in the economic recovery.
Matthew Clark: Okay, and then last one for me just on M&A. It sounded like coming out last quarter; your focus was on primary versus secondary targets. Have that changed at all and any update on that level of activity?
Steve Gardner: We're still looking at all options. There are certainly some that are more attractive than others. Getting transactions done properly structuring them, pricing them and ensure that they're going to create long-term shareholder value is always a challenge. But we continue to pursue those various opportunities. And we still fundamentally believe this is a consolidating industry. Scale matters and where you can build scale with partnering with strong, complimentary institutions is makes a lot of sense.
Matthew Clark: Great, thank you.
Ron Nicolas: Hey, Matt. This is Ron, I'll just tell you that the break between the maturities and the payoffs that were $740 million, this particular quarter, and last quarter was about $840 approximately million.
Operator: Our next question comes from David Feaster with Raymond James.
David Feaster: Hey, good morning, everybody. It was great to see a record quarter of loan originations. I'm just curious what you're seeing drive that? I mean, do you think it's more of a function of just the improved economic outlook and clients being more confident in investing? Or is it more that you're gaining share, just given the new hires that you've had, and some of them - the ability to move upstream. And then just taking the origination activity and the increased pipeline and prospects for increasing C&I utilization? How do you think about growth for the year? I mean, do you think, I mean, mid-single digits is kind of a reasonable expectation.
Steve Gardner: David, you cut out a little bit there. But I think I understand your question. The new production is really being driven by a multitude of factors, the larger scale of the organization, and our ability to attract larger, more sophisticated clients. And whether that's true our treasury management offerings, the relationships, that some of the folks that have joined the organization in the past year bring to it. Plus, we're seeing a little bit of an increase level of demand. And then lastly, there's the integration with the Opus team. And that team, whether it's the commercial real estate side, the C&I, they are working very well together, along with the credit team, and so we're just able to move those opportunities through the system more quickly. So all of those things are driving the increase in production and the strength and the loan pipeline. From the line utilization rates, as I mentioned earlier, it seems to have come off as low from the first quarter. We're hopeful that continues throughout the quarter and into the year as the economy expands. As far as loan growth, we don't give guidance because that's just very difficult to forecast in this environment. We're far more focused on the activities and the behaviors that we know drive new business relationships, and focus on making sure that we're serving our existing clients well.
David Feaster: Okay, that's helpful, and I was pleased to see the increased contribution from the escrow business in the quarter. I'm just curious whether you started to see an increased deposit contribution there as well. And then just any updates on the truck business, AU, assets under custody, we need to grow. Just curious how client growth is trended and any updates on those lines, maybe some expectations, just want to get those businesses converted?
Steve Gardner: Sure, I think we're from the escrow side we're seeing some nice synergies with the existing loan production that we're doing, and the referrals from that business to the escrow and vice versa. Again, it's reflective of the teams working well together. The trust business, as I mentioned, will convert their systems, their core operating system here this quarter, the team is worked tremendously hard to ensure that is going to go through smoothly, it's a great opportunity to us, for us to retool that business and deploy greater technology not only through the core system, but through our salesforce platform. And we think the opportunities there are fairly attractive and we're optimistic that the growth in outline of business here in the second half of the year and into 2022 will begin to accelerate. And it's really been focused on getting the people and the talent in place there in the trust business. And that foundation built around the processes and the core operating system.
David Feaster: Okay. And just, you touched on some I wanted to shift gears to just following up on your commentary on technology. You talked in your prepared remarks about continued investment. How do you think about technology? And where are you focusing your incremental investments going forward? You talked about salesforce across organizations, and we've talked about API banking, just want to get an update on the text run and some of the initiatives that you have on our way and kind of what's on the docket.
Steve Gardner: Sure, it's continued improvement, and in those proprietary and customized systems that we have and adding products and services through treasury management, is leveraging the existing technology continuing to push out that use of digitization and online banking, that utilization from our clients, it's in part drives part of our efficiencies, the relatively low number of branch locations that we have, then it will be consolidating a couple more branches here in the second quarter. And in large measure technology has allowed us and helps drive those efficiencies in the organization. But it's really throughout our platform and taking what we've learned and seeing where we can deploy that and develop new technologies that are complementary to the businesses that we have in place.
David Feaster: Got it. That's great color. Thank you so much.
Steve Gardner: I think you know David; we don't telegraph or tell folks a lot about what we're going to do. Once we've done it, we roll it out. We might mention it at that point.
Operator: Our next question comes from Jacquelynne Bohlen from KBW.
Jacquelynne Bohlen: Hi, Steven, Ron. Good morning. I wanted to touch on FTE, if I wrote it down correctly in prepared remarks. It looked like it went up on a linked quarter basis. So just wanted to see what the driver of that was.
Steve Gardner: It continuing to add talent to the organization and invest in people.
Jacquelynne Bohlen: Okay. And I would guess a lot of that is producers.
Steve Gardner: Yes, that is certainly a part of it. Go ahead, Ron.
Ron Nicolas: Yes, I was just going to say, Steve. Yes, that is correct. A fair amount was the increases of 43 were producers.
Jacquelynne Bohlen: Okay. And would they later quarter adds and that it plays into some of the increased overall expense level that you're expecting in the second quarter.
Ron Nicolas: That's correct, Jackie. Yes, they were more in the quarter end area.
Jacquelynne Bohlen: Okay. And then Steve, correct me if I'm wrong on any of this, but I would just expect, I know we've been talking about for years continued investment in the last conversation centered on a lot of that. So just continuing to find people that you feel is beneficial to the organization doing some talent upgrades where you can and pulling people from other institutions. So that's just going to be kind of a continued ongoing item.
Steve Gardner: It always has been and it always will be, Jackie. And that's the way we think about it, whether it's technology or people. We are constantly seeking to improve at the organization.
Jacquelynne Bohlen: And then just one little housekeeping one for me, in terms of debt redemption in April, I just want to double check that expense is not included in the first quarter, it will be in the second quarters rate, right?
Steve Gardner: That is correct.
Operator: This concludes our question-and-answer session. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.